Operator: Good day, and welcome to The Home Depot Quarter Four 2017 Earnings Call. Today's conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Ms. Diane Dayhoff, Vice President, Investor Relations. Please go ahead, ma'am.
Diane Dayhoff: Thank you, Abby, and good morning to everyone. Joining us on our call today are Craig Menear, Chairman, CEO and President; Ted Decker, EVP of Merchandising; and Carol Tomé, Chief Financial Officer and Executive Vice President, Corporate Services. Following our prepared remarks, the call will be opened for analysts' questions. Questions will be limited to analysts and investors and as a reminder; we would appreciate it if the participants would limit themselves to one question with one follow-up, please. If we are unable to get to your question during the call, please call our Investor Relations Department at 770-384-2387. Now, before I turn the call over to Craig, let me remind you that today's press release and the presentations made by our executives include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, the factors identified in the release and in our filings with the Securities and Exchange Commission. Today's presentations will also include certain non-GAAP measures. Reconciliation of these measures is provided on our website. Now, let me turn the call over to Craig.
Craig Menear: Thank you, Diane, and good morning everyone. Before I start, I’d like to recognize Diane Dayhoff. This is Diane’s last earnings call, and I want to thank Diane for all her amazing contributions to the company in her nearly 15 years. And so Diane we wish you all the best in retirement.
Diane Dayhoff: Thank you.
Craig Menear: Fiscal 2017 was another record year for our business and we achieved the highest sales in net earnings in company history. Fiscal 2017 sales grew $6.3 billion to $100.9 billion and an increase of 6.7% from fiscal 2016, while diluted earnings per share grew 13% to $7.29. Sales for the fourth quarter were $23.9 billion up 7.5% from last year. Comp sales were also up 7.5% from last year and our U.S. stores had a positive comp of 7.2%. Diluted earnings per share were $1.52 in the fourth quarter. We continue to see broad-based growth across the stores and our geographies. All three of our U.S. divisions posted positive comps in the fourth quarter, but we did see more variability in regional performance than we have in several quarters due to weather. Internationally, both Mexico and Canada posted another quarter of positive comps in local currency. While sales did benefit from hurricane recovery efforts, we also had hurricane related expenses. Our merchants, store teams, supplier partners and supply chain teams did an outstanding job delivering value and service to our customers throughout the quarter both in stores and in and online. As Ted will detail, both ticket and transactions grew in the quarter and we saw a growth in both pro and DIY categories. Pro-sales once again outpaced DIY sales in the quarter as the work that we’re doing to enhance service capabilities for our pros continue to resonate. We were pleased with the growth of sales to our DIY customers who also gave us a likelihood to shop again score of 86% up almost 150 basis points from last year. Our interconnected business made great strides in 2017 as the team continued to enhance our digital assets to enable a more seamless experience for our customers no matter how they choose to shop with us. We implemented a new e-commerce platform, enhanced our search and mobile functionality, increased check out speed and expanded chat functionality to improve the customer experience with our online contact centers. We continue to invest in our digital properties and it has increased traffic and conversion. Versus prior year, our online sales grew 21% in the fourth quarter and 21.5% in fiscal 2017, now representing 6.7% of our total sales. While we are seeing significant growth in our online sales, these online shoppers see the relevance of our stores as approximately 46% of our online U.S. orders are picked up in our stores, a testament to the power of our interconnected retail strategy. We have talked a lot about the progress we have made in building our upstream supply chain network over the past several years. We’ve also told you about the 1.2 billion investment we plan to make over the next five years to leverage the capabilities and competitive advantages that we have in our upstream network, while significantly improving our downstream proficiencies to leverage our scale in convenient locations. This year we will pilot the local flatbed DFCs and market delivery operations, but I want to remind you that this investment in one Home Depot supply chain is a five year journey where the financial benefits won’t be realized until the initiative is complete. These investments are critical to meet the evolving needs of our customers and we are committed to creating the fastest most efficient delivery network for home-improvement products. But we are not an organization that rests on our laurels of previous accomplishments. I don’t want to miss this opportunity to applaud each and every one of our associates for the incredible work that has brought us to this point in our company’s history. As I mentioned, fiscal 2017 was a record sales and earnings year on the heels of a record fiscal 2016. In 2017, our associates and suppliers served our customers during their time of need as we navigated the disruptions caused by various natural disasters. We also welcome two new teams to the Home Depot family, through the acquisitions of Compact Power and The Company Store. All of this was accomplished during a time marked by a high degree of change in our business as we respond to the rapidly evolving retail environment. As they always do, our associates continue to adapt to these changes, while consistently delivering outstanding customer service. Today, our Board announced a 15.7% increase in our quarterly dividend to $1.03 per share. We remain committed to maintaining disciplined capital allocation to create value for our shareholders. Turning to 2018 and beyond, I’m very excited about the opportunities that are ahead of us. Carol will take you through the details, but we expect 2018 to be another year of growth with expected sales growth of approximately 6.5% and diluted earnings per share of approximately $9.31. At our investor conference in December, we outlined our three-year financial targets and an accelerated investment plan to create the one Home Depot experience for our customers. Today we are reaffirming our investment strategy in our 2020 targets to grow sales as high as $120 billion with operating margin as high as 15% and we are updating our return on invested capital target to now more than 40%. One of the areas that we are investing in is our associates, and in the fourth quarter we did just that. We recognize associates through success sharing, our profit-sharing program for our hourly associates. For the second half of the year, 99% of our stores qualified for success sharing. Beyond success sharing, we were pleased to be able to pay out an incremental one-time bonus to our hourly associates in light of tax reform. Together, this was an investment in our associates of more than $240 million in the back half of the year. I want to close by thanking all of our associates for their hard work and dedication to our customers in the fourth quarter and throughout the year. We look forward to continuing this momentum in 2018 and with that, let me turn the call over to Ted.
Edward Decker: Thanks Craig and good morning everyone. We had a strong fourth quarter where sales exceeded our expectations. We saw strength across the store led by our pro customer and our online sales continued their double-digit growth. Looking at our departments, lumber, electrical, and tools had double-digit comps in the quarter. Appliances, plumbing, and building materials were also above the company’s average comp. Decor, flooring, millwork, paint, indoor garden, hardware, outdoor garden, and kitchen and bath were positive, but below the company average. Lighting recorded a low single-digit negative comp primarily due to LED price deflation. In the fourth quarter, we saw a growth in both ticket and transactions. Comp average ticket increased 5.5% and comp transactions increased 1.9%. Commodity price inflation in lumber, building materials and copper positively impacted average ticket growth by approximately 105 basis points. Foreign exchange rates also positively impacted average ticket growth by approximately 42 basis points. Big ticket sales in the fourth quarter or transactions over $900 which represent approximately 22% of our U.S. sales were up 9.8%. The increase in big ticket sales was driven in part by strength in vinyl plank flooring, fencing and appliances. Transactions for tickets under $50 which make up approximately 16% of our U.S. sales grew by 0.8% in the quarter. In the fourth quarter, we saw strong sales with both our DIY and pro-customer. Sales for our professional customers grew double digits in the quarter. Pro-heavy categories, lumber, pressure-treated decking, insulation and gypsum all had double-digit growth during the quarter with solid unit productivity. Our paint initiatives continue to gain traction, as we saw strong sales to both our pro-and DIY customers throughout the quarter. Turning to our DIY customers, we saw a terrific response to our events throughout the quarter. Traffic was strong both in-store and online during our Black Friday gift center and holiday events. During the quarter, our DIY customers drove strong comps, in power tools, hand tools, rugs, appliances and decorative holiday. We also continue to see strength in storm related categories in the quarter with double-digit comps and generators, wet dry vac’s and portable heating. This part of our focus on balancing the art and signs of retail, we continue to refine and localize our assortments. Recent examples with our heart skates category, which includes pavers, wall block and landscape rock. We are leveraging the power of our clustering and space optimization tools to assign assortments and facings at the local store level. As a result, we have been able to optimize on shelf inventory levels to provide job [ph] block quantities for our customers, minimize shelf maintenance for store associates and maintain a meaningful innovative assortment. Initial results of warm weather markets have been strong. Now, let me turn our attention to the first quarter. Product innovation and speed to market allow the Home Depot to maintain its position as the number one retailer in product authority and home-improvement. To that end, our merchants are constantly collaborating with our suppliers to deliver new products exclusively to the Home Depot. For example, we have recently updated our assortment of Klein tools for professional electricians. This includes the new 9-inch Journeyman Diagonal Cutting Pliers that provide 57% more cutting surface and new magnetizer tool that is great when needing to magnetize a screwdriver or bed. The addition of these new products to our existing assortment of bit box exclusive Klein tools keeps us winning with the electrician. With spring quickly approaching we are gearing up to fulfil the needs of our customers as they complete their outdoor projects and get ready to enjoy the warm weather. In addition to our annual spring Black Friday event, we are excited about our new patio set offerings which provide customers great value across a wide selection to fit their specific style and needs. New this year is part of our exclusive Hampton Bay collection we are offering cushion guard technology, which guarantees water repellency as well as protection from fading and stains. This gives our customers peace of mind and reassurance that they are purchasing quality material at an everyday low price. With that, I’d like to turn the call over to Carol.
Carol Tomé: Thank you, Ted, and good morning, everyone. In the fourth quarter, total sales were $23.9 billion an increase of 7.5% versus last year a weaker U.S. dollar positively impacted total sales growth by approximately $100 million or 0.5%. Additionally, we estimate that hurricane-related sales positively impacted total company sales growth in the quarter by 1.7% or $380 million. Our total company comps or same store sales were positive 7.5% for the quarter, with positive comps of 8.3% in November, 11.5% in December and 3.1% in January. Comps, pre rep stores were positive 7.2% for the quarter with positive comps of 8.2% in November, 11.4% in December and 2.5% in January. Our monthly comps were distorted by the timing of Christmas. This year, the Christmas holiday fell in our fiscal January rather than December. Adjusting for this timing shift, our total company comps would have been 8.3% in November, 8.5% in December and 5.8% in January. For fiscal 2017, our sales increased 6.7% to $100.9 billion and total company comp sales were positive 6.8%. Comps for U.S. stores were positive 6.9%. During the year, foreign exchange rates positively impacted total sales growth by approximately $67 million or 0.1%. In the fourth quarter, our gross margin was 33.9% a decline of 12 basis points from last year. We attribute the March decline in our gross margins primarily to lower margin hurricane-related sales. For the year, we experienced 11 basis points of growth margin contraction in line with our plans. In the fourth quarter, operating expense as a percent of sales decreased by 30 basis points to 20.5%. Our expense leverage was driven primarily by our strong sales performance. During the quarter, we had a few expenses that we did not plan. First, as a result of the one time cash bonus stemming from tax reforms, we incurred approximately $170 million of incremental expense, and we incurred approximately $66 million of hurricane-related expenses. Fiscal 2017 operating expense as a percent of sales was 19.5%, a decrease of 47 basis points from last year. For the year our expenses grew at approximately 63% of our sales growth rate. Ignoring hurricane-related sales and expenses and backing out the onetime bonus, our expenses grew at approximately 45% of our sales growth rate in fiscal 2017. Our operating margins for the fourth quarter was 13.4% and for the year, was 14.6%. Interest and other expense for the fourth quarter grew by $11 million to $246 million, reflecting for the most part a higher long-term debt balance versus last year. In the fourth quarter, our effective tax rate was 39.6% compared to 35.2% in the fourth quarter of fiscal 2016. In the fourth quarter, we recorded a net tax expense of approximately $127 million resulting from tax reform. While this is a provisional charge it was slightly better than our initial estimate. Our diluted earnings per share for the fourth quarter were $1.52, an increase of 5.6% from last year. For the year, diluted earnings per share were $7.29 an increase of 13% compared to fiscal 2015. Our fourth quarter and fiscal 2017 diluted earnings per share were negatively impacted by approximately $0.17 due to the onetime bonus and net tax expense previously mentioned. Now moving onto some additional highlights. During the fiscal year, we opened six new stores including three in the U.S. and three in Mexico, for an ending [Ph] store count of 2,284. Selling square footage at the end of the year was 237 million square feet. For the fiscal year, total sales per square foot increased 6.7% to $417, the highest level since fiscal 1999. At the end of the quarter, merchandised inventories were $12.7 billion up $199 million from last year. Inventory turns were 5.1 time up from 4.9 times last year. Moving onto capital allocation, in fiscal 2017 we generated approximately $12.3 billion of cash from the business and used that cash as well as proceeds from $3.3 billion of both short and long term debt issuances to invest in the business, repurchase our shares and paid dividends to our shareholders. During the year, we invested approximately $2.3 billion back into the business through capital expenditures and acquisitions. Further, we repurchased approximately $8 billion or about 49.5 million of our outstanding shares including roughly $2.1 billion or 11.5 million shares in the fourth quarter. Finally, during the year, we paid $4.2 billion in dividends. Computed on the average of beginning and ending long-term debt and equity for the trailing 12 months, return on invested capital was approximately 34.2%, 280 basis points higher than the end of fiscal 2016. Today’s press release includes our guidance for fiscal 2018 and I want to take a few moments to comment on the highlights. Remember that we guide off of GAAP so fiscal 2018 guidance will launch from our reported results for fiscal 2017. There are a few things to keep in mind when thinking about our fiscal 2018. First, fiscal 2018 will include a 53rd week, so the fourth quarter of fiscal 2018 will consist of 14 weeks. We will continue to report comps on a 52-week basis but we will base our overall guidance on 53-weeks. Second, beginning in the first quarter of fiscal 2018, we will adopt ASU 2014-09 which addresses revenue recognition. This accounting standard will not have a material impact on our sales or our operating margin, but it will change the geography of certain items on our income statements. Our guidance today does not incorporate this new standard. We will give you a more detailed update during our first quarter conference call in May. Finally, our guidance incorporate the investment plans we laid out in December and the impact of tax reform, so with that, let’s zoom out and look at the macro environment. The U.S. economy is strong, and tax reform is net positive for the housing industry. We expect higher job growth, higher income growth, and yes, higher mortgage rates. But with that comes higher home price appreciation and rising housing demand, which should drive home improvement spending. For fiscal 2018, we expect sales to grow approximately 6.5% with the extra week adding approximately $1.6 billion in sales. During fiscal 2018, we expect total company comp sales of approximately 5% and we’re planning to open three new stores. For fiscal 2018, we are projecting our gross margin to be about the same as it was in fiscal 2017, reflecting for the most part the benefit of the extra week. As we discussed during our December Investor Conference we have a number of investments plan which will cause our expense growth factor to be higher than when it's been in the past. Further, with tax reform we have elected to pull some of the investments forward into fiscal 2018. We expect our 2018 operating expenses to grow a little more than a 100% of our sales growth rate. For the year, we expect that our operating margin will be approximately 14.5% with the extra week adding approximately $300 million in operating profit. For fiscal 2018, incorporating tax reform we estimate our effective tax rate to be approximately 26%. We expect fiscal 2018 diluted earnings per share to grow approximately 28% to $9.31 with the 53rd week contributing approximately $0.19. Our earnings per share guidance include our plan to repurchase approximately $4 billion of outstanding shares during the year. For the year, we project cash flow from the business are roughly $14.1 billion, which includes about $1.8 billion of cash resulting from tax reform. We will invest $2.5 billion of this cash back into the business in support of the strategic initiatives we outlined at our investor conference. We will also use this cash to pay $4.8 billion of dividend. As Craig mentioned we just announced a 15.7% increase in our quarterly dividend which equates to an annual dividend of $4.12 in line with our targeted dividend payout ratio of 55% of earning. Finally, we will repurchase $4 billion of outstanding shares. Note that this is a preliminary share repurchase target and may be adjusted throughout the year. At our Investor Conference in December we shared with you our long-term financial target and our strategy to create One Home Depot. Over the next three years we will nearly double our investments into the business to enhance the customer experience, invest for the future and create value. Today we are reaffirming and updating our long-term targets. By fiscal 2020, we are aiming to grow our sales to a range of $115 billion to $120 billion with an operating margin of 14.4% to 15%, reflecting the impact of tax reform and a resulting higher net operating profit after tax. We now believe our return on invested capital for fiscal 2020 will be more than 40%. So, we thank you for participation in today's call. And Abby we are now ready for questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Simeon Gutman with Morgan Stanley. Please go ahead.
Simeon Gutman: Thanks. Good morning everyone and congratulations, Diane. My first question is on the topline in the fourth quarter. You were cycling two warm winters and I realize the hurricane was some benefit in the quarter, but if you look at the underlying run rate of the business, is there anything to glean – like did the business – or the fact that some of these categories were still hanging in despite you had more normalized weather, does that mean we should see an even stronger spring when we get there?
Craig Menear: I think overall, we are first of all very pleased with the performance in the quarter both across categories, as well as geographies. To your point, we definitely had benefit from hurricane recovery sales partially offset by actually a real winter in January this year. Carol, you might want to share just how we’ve made up the fourth quarter.
Carol Tomé: Yes. So we were really pleased with the result in the fourth quarter. Clearly, the hurricane sales were higher than what we had included in our guidance at the end of third quarter, so we were pleased with that. But the business, just the underlying business was very strong. As Craig pointed out, we had winter. And if you look at the month of January alone and the comps across our division, the comp in the western division and the southern division in the month of January was higher than the comp for the company for the quarter. Now in the north where we had real winter and I think you experienced that winter, our comp was low single digit as you expected. So what does that mean? We should have a great spring, I would think when you have a normal winter.
Simeon Gutman: Okay. And then my second question, looking at the housing market in total and then maybe looking at the market color that you guys have. In more mature markets where the housing market has already recovered. Can you talk about any trends good and bad? And then alternatively in less mature recovery market anything that you’re seeing that’s encouraging about the pace of sales in those markets?
Carol Tomé: Yes. So as Craig mentioned, if you look at the variability in our regions, the spread was a bit wider than we’ve seen in the past several quarters, but that’s because of the hurricane-related sales where we had high, high double digit comps. But if you ignore the hurricane-related sales you actually see the variability tightening. And that’s actually because the economic environment in the cities that have recovered is robust, and there’s a housing shortage. So let’s take a look at San Francisco for example. San Francisco is very robust. The month of supply in San Francisco [Indiscernible], so we continue to see strong growth there. In areas at the countries that haven’t fully recovered, well, good news there too. So, housing as an asset class across the country continues to look very good.
Craig Menear: I think one other comment on that. If you look at a market like Dallas which has had tremendous growth in home value appreciations, the affordability index is still terrific, so we’re looking at housing continue to be tailwind for us.
Simeon Gutman: Okay. Thank you very much.
Operator: We will take our next question from Brian Nagel with Oppenheimer. Please go ahead.
Brian Nagel: Hi. Good morning. Nice quarter.
Craig Menear: Thank you.
Brian Nagel: Congratulations, Diane. So, I want to just go over quickly on Simeon’s question on hurricane. So, if we look at the cadence for the business over the last couple of quarters, it seems like you actually got a bigger benefit from the hurricanes here in the four quarter, which was little surprising to us. Any new insights as we’re watching these sales come through as to how long these benefits persist into 2018?
Craig Menear: So overall the fourth quarter was almost comparable to the third quarter in terms of total benefit which as Carol mentioned, fourth quarter was slightly stronger than what we had anticipated. When we look at the go-forward in the business for 2018, we expect the sales from hurricanes to be somewhat comparable to what we experienced in 2017 overall, and most of that coming in the first half of the year.
Carol Tomé: Right. So just to put the numbers behind that we believe we had $652 million of hurricane-related sales in the back half of 2017. And we expect to have that same number of sales in 2018. The difference of course is that the 2018 sales will be a little bit more profitable than what we experienced in 2017, in fact when you add it all up we lost money on those sales. We lost about $11 million on those sales in 2017 and expect [indiscernible] a little bit of money on those sales in 2018.
Brian Nagel: And then my follow-up question, Carol, you mentioned in your prepared comments just the – pull forward a bit in the cadence of investments that you laid out in the Analyst Day, now that the tax legislation was just passed. Any more color on specifically what investments you’re pulling forward earlier? And then, how should we think about – with that, the potential return on those investments?
Carol Tomé: Yes, happy to. So let me just give you a breakdown of our expense growth factor guidance for 2018. Our core expenses will grow at about 45% of our sales growth next year. We add to that then about 10% related to acquisition. As we’ve talked in the past, our acquisitions have more variable expenses than our core. So when you add core in acquisitions, expenses growing at 55% of our sales growth. Then the investments that we’re making add another 46 plus, so our expenses will be a little more than 100% of our sales growth in 2018. What are we pulling forward? Well, if you remember the pie chart that we shared with you at our Investor Day and we’ve showed buckets of expense, one of the buckets of expense was a bucket called other. And in that bucket called other were people expense. So we are pulling forward some of those people expenses, because those are easy things to do. Some of the other investments that we’re making, it takes time. Well, like we’ve talked to you about supply chain as an example, our supply chain initiative is actually a five-year initiative, but the people investments are things that we can pull forward and we think that’s the right thing to do.
Brian Nagel: Got it. Thank you very much. Congrats again.
Craig Menear: Thank you.
Operator: Our next question comes from Mike Baker with Deutsche Bank. Please go ahead.
Mike Baker: Hi. Thanks. Two questions. One, can you explain the calendar shift in a little more detail, December versus January. How does Christmas end up in January? And then I guess related to that, even when you make that adjustment, January does seem to have been a little bit softer, but is that just the winter weather?
Carol Tomé: Yes. So, Mike, it’s just our accounting convention. We have a four, four, five close and it’s just when Christmas day falls. And Christmas this year was a Sunday or Monday. Anyway, it just fell into another month. So it just calendar. That’s all it is. In terms of our January comp, yes, even on an adjusted basis it was lower than the previous two months, but we had a winter in January as I mentioned. Our western division, our southern division in the month of January comped higher than the company average for the quarter, but we can get a sense of were those comps were very good, but in the north where we had winter it was low single digit.
Mike Baker: Right. Okay. That makes sense. One follow-up, rates doesn’t seem like it’s an issue yet, but I think in the past you’ve given some color on, where is that sort of break point where we start to become worried about rates either measured on a 10-year bond or 30-year fixed mortgage or however you look at it?
Carol Tomé: Yes. So 30-year rates today are 4.2%. The consensus estimate for 2018 is 4.3%. I have seen a high estimate out there of 4.6%. But just to put it into perspective, our math suggests that for every 25 basis points of mortgage rate increase it’s $40 of additional mortgage interest per month. So we don’t see any concern with the rising interest rate over the next several years actually. Remember that historically [Indiscernible] mortgage is 5.6%, and as Craig commented the affordability index broadly speaking is still very good at over 155%.
Mike Baker: Okay. Very good. Appreciate the color. Thank you.
Operator: Our next question comes from Michael Lasser with UBS. Please go ahead.
Michael Lasser: Good morning. Thank you for taking my questions and congratulations, Diane. As we look out over the course should we expect to see the composition of your same-store sales change at all particularly as you make more e-comm investment and your e-comm mix just comprise the bigger percentage of the total? Or as you’ve said in the past should we expect half coming ticket and half coming from traffic?
Craig Menear: We still look at it on a split of roughly 50-50 overtime coming from ticket and traffic overall. And from departments we still have opportunity in larger ticket building materials, special-order kitchens, lumber, while lumber has certainly run-up in price, the project is still growing and we still have significant opportunities, so from a department perspective we’d see continued growth in those apartments.
Michael Lasser: And Ted, is there any thing to read into about the performance of the lighting category. The price deflation in LEDs has been happening for a long time. Could it be now that, that category has just reached either a maturity point or it's now starting to shift more online?
Craig Menear: Now, we’d see the price deflation continuing into 2018 and we planned for meaningful deflation that continues throughout 2018.
Carol Tomé: There’s some good news with price deflation, because we are re-lapping our stores with LED light. And it was a good thing that we’ve waited for this investment because the cost curve is coming down. So glass half full here.
Michael Lasser: Thank you so much.
Operator: Our next question comes from Seth Sigman with Credit Suisse. Please go ahead.
Seth Sigman: Thanks a lot and good morning, and nice quarter, and of course Diane, congrats. I just want to follow-up on the gross margin outlook for flattish in 2018. I’m wondering if you can reconcile that with the longer term guidance that calls for, I think it was a decline of 40 basis points over the next three years. And related to that presumably freight and mix could still be headwinds as you look into 2018. What do you assuming as other offsets in there? Thank you.
Carol Tomé: Yes. So we’ve guided gross margin flattish for the year. That includes the 53rd week. The margin in that 53rd week will be higher because it doesn’t have as much fixed cost allocated to it. So if you ignored the 53rd week the gross margin for the business would be down call it seven-ish basis points. We have factored into our outlook a tightening transportation market, higher fuel costs, although that's gotten better recently. We’re going to have to stay lose of this. So we’ve got of cost out opportunities that we will certainly drive. But the transportation market is tightening. So we might little pressure there, but we’ll manage through it.
Seth Sigman: Okay. And then a question on the delivery from store initiative, I think it’s been in the stores for over a year now. Can you speak about the performance, the types of Pros that are utilizing it? And if you're seeing actually new customers come in or is it just driving share of existing Pros wallet? Thank you.
Craig Menear: Sure. Seth, I’ll comment. We’re very pleased actually with the growth overall into February and we’re seeing that happened with our Pro and with our consumer and Mark is here, I’ll let him comment.
Mark Holifield: Yes. We’re seeing the same kind of mix of Pro in consumer that we see across the business. We’re very pleased that that store-based delivery continues to grow. One highlight there we’re continuing to roll out the car and van, lower-cost delivery options to more markets as we go including our home market of Atlanta now, so expect to have that rolled by spring to all the major markets.
Carol Tomé: And the question always is incrementality and based on our analysis for driving incremental growth here.
Seth Sigman: Very helpful. Thank you. Good luck.
Mark Holifield: Thanks.
Operator: Our next question comes from Matt Fassler with Goldman Sachs. Please go ahead.
Matt Fassler: Thanks a lot. Good morning. Diane, thanks so much for all your years. And Isabel, welcome back to you. I want to start with quick follow-up for Carol, you gave the adjusted comps on a monthly basis for the total company. You have the Jan – do you have December and January numbers for the U.S. stores alone?
Carol Tomé: Yes. 300 basis points shift. So you can just do that math.
Matt Fassler: Great. My next question, if you talk about the transactions under 50 bucks. I mean, I used to just point to the bigger ticket transactions growing at or close to double digit and the smaller ticket transactions growing low singles. Are those transactions being subsumed by -- in other visits i.e. the visits coming down and that just reflected in the bigger ticket? Is it a question of market shares or the question of that business being done online? How would you -- how should we think about that trend in the small ticket business?
Craig Menear: Now, we’ve actually done some work in this area and I would start with the comments that this has been impacted by both innovation and inflation. And I’ll let Carol walk through the details of this, but we’re actually please with what we’re seeing.
Carol Tomé: We are. So we took our ticket and broke it into quintiles. And if you look at the bottom quintile, we see the price has jumped through innovation and inflation, 11% over the past couple of years. So it’s moving out of that less than $50 bucket into a higher bucket. The other contributor is the price inflation and LED light bulb. LED light bulb would be in that – in the other bucket. So, it just the change in the business and we’re reacting to that change.
Matt Fassler: Great. Thank you so much guys.
Operator: Our next question comes from Chuck Grom with Gordon Haskett. Please go ahead.
Chuck Grom: Hi. Thanks. Just a quick modeling question, just on the expense growth factor certainly north of 100%, should we expect that to be pretty even throughout the year by quarter or are you expecting any lumpiness throughout the year?
Carol Tomé: It will be lumpy. It will be higher in the first half of the year than in the back half of the year, because in the back half of the year 2017 we had hurricane-related expenses that will not repeat.
Matt Fassler: Okay. Helpful. And then just historically when you have that type of winter that you guys are going through this year and us as well. Can you just remind us how the business tends to pick back up in the spring based on your historical experience?
Craig Menear: Well, totally, it’s dependent on when spring actually breaks and that is -- that can happen earlier, it can happen late. Mother of Nature will control that. But what we do see from that type of activity is generally you'll see when you have a harsh winter you got a lot of garden opportunity with the replacement of shrubs. You have ice damage that takes place in Brooklyn. So there is different types of elements within the business that will actually see a benefit from a hard winter.
Matt Fassler: Okay. Thank you.
Operator: Our next question comes from Elizabeth Suzuki with Bank of America Merrill Lynch. Please go ahead.
Elizabeth Suzuki: Hi. Good morning. Just generally when costs are rising, transportation, labor, general inflation et cetera, how much of these costs increases are you able to pass-through with the consumer?
Craig Menear: Well, first of all, in each situation with cost in our first cost of goods we look at that on a case-by-case basis and work with our suppliers to help them try to minimize as many impacts as we possibly can. And then candidly we look at our portfolio approach to how we actually deal with that. And so cost may not necessarily go into a category where we may absorb some costs. It could go somewhere else. And we obviously look to offset that within our own business to try to hold value for the customer.
Elizabeth Suzuki: Hi. Great. Thank you.
Operator: Our next question comes from Dennis McGill with Zelman & Associates. Please go ahead.
Dennis McGill: Hi. Good morning. Thank you everybody. Carol, first question from the Investor Day, I think you talked about the investments hopefully adding somewhere in the neighborhood of I think about 50 to 200 basis points to same-store sales growth. How did you think about benefit in 2018 when you formed the plan?
Carol Tomé: Yes. Not lot of benefits in 2018. So we’ve had to first make the investments and if you think about, we talked about $1 billion investment over the next three years. We’re going to kind of ramp up. So you’re going to see more of the return in the back half of the three-year planning than you do in the initial part of the three-year plan.
Dennis McGill: Okay. Thank you. And then second question when you talk about cash flow from the business and then look at the guidance for share repurchases, can you just maybe talk about how you thought about getting to that $4 billion number especially with repatriation being an opportunity and maybe also just update us on where that stands as far as getting that cash back?
Carol Tomé: Yes. So based on the cash flow guidance that we’ve given to and use of cash, you’re like wow, you can have some left over cash. And that’s right, we are. And we are exploring what to do with that cash. And it could be additional share repurchases, dividends, payback debt, built cash for the future so on and so forth. We’re going to take our time just make through [Indiscernible] and determine what we will do with the cash. We will let you know. The $4 billion specifically is what we had on our Investor Day, so we just kept that for the year and then we’ll update you as year continues.
Operator: Our next question comes from Scot Ciccarelli with RBC Capital Markets. Please go ahead.
Scot Ciccarelli: Good morning, everyone. Carol, I don’t know if this was answered earlier, if you did I apologize and I missed it. What is the mortgage rate that you think starts to adversely impact home pricing trends? And then relating to that obviously real estates are very localize industry, but you have thoughts regarding the potential impact on home prices in affected areas?
Carol Tomé: Let’s look at the latter part into question first. 80% of American households were going to have more money this year because of tax reform, given the increases in the standard production. Further corporations are enjoying – many corporations are enjoying lower tax than we see many corporations taking that cash if you will and investing in the people [Indiscernible]. We think those offset any negative that could arrived with the change in the mortgage interest deduction or the cap on state and local tax reduction. And just a few other things; on the cap on mortgage interest reduction 750,000, only 5% of houses that are sold in a year are 750,000, so it’s a small subset of what happens to the housing worker. Further as we’ve talked about, only about 30% of tax filers itemize, and only about 22% itemize for mortgage reduction. On the state and local tax front, if you live in California or New York, you're not going to feel very good, but then there’s a housing shortage. I commented on San Francisco with 0.8 months of supply. New York City has 2.2 months of supply. So we don’t actually think those going to be any impact on housing as a result, although if you live in New York or California you may feel it. Now, on mortgage rates, you can’t just look at mortgage rate alone, because you have to look at where home prices are going, to look at affordability. But if you just kept home prices where they are today, it’s our view that mortgage rate to go to 7% before there’s any issue on the affordability. The other way of looking at is just averages, right. And the average mortgage rate over the past 30 years is 5.6%. So that might be a good number for us to all to kind of land on.
Scot Ciccarelli: Okay. Thank you very much.
Operator: Our next question comes from Alan Rifkin with BTIG. Please go ahead.
Alan Rifkin: Thank you. Congratulations Diane on your retirement and welcome back Isabel. So shortly before the tax reform was passed you laid out your three-year goals and presumably there are going to be incremental investment from the tax savings. Why is that -- and obviously those that will result in an increase returns. My question is why is there no change to the three-year 2020 guidance, if the returns by that point should be realized?
Craig Menear: So, Alan, we’re actually not looking to do incremental investment beyond what we shared, 11.1 billion over three years is what we believe that we need to do and there's a kind of you will a durability factor to making that all happened. So there is not really the opportunity to add a whole bunch of new investment on top. As Carol mentioned we are pulling some investments forward if we can do and make it happen faster, but don't look for us to add a whole new layer of investment on top of the 11 1 billion.
Alan Rifkin: Okay. Thank you, Craig. And a follow-up if I may. I believe you said that the flooring category or comping positive was below the corporate average? It seems like for the first time in many quarters that is the case, I was curious if you provide some color what is going on in a category in your opinion?
Craig Menear: We’re very pleased with the performance. You have to remember, Alan, the average set is 7.5%, so it's very healthy across the flooring portfolio.
Alan Rifkin: Okay. Thank you very much.
Operator: Our next question comes from Christopher Horvers with JPMorgan. Please go ahead.
Christopher Horvers: Thanks and Good morning. So following up on the SG&A, the sales growth rate, you guided over the three years 75% to 90%. Is the pull forward mainly from 2019 into 2018 and how should we think about the cadence of that 75 to 90 as we look past this year is in 2019 thus lower as a result?
Carol Tomé: We pull forward both from 2019 and 2020, so we’ll update on 2019 and 2020 when we get to those years, but nothing changes from the overall expense growth factor guidance that we gave you back in December.
Christopher Horvers: Understood. And as you’re thinking about how robust the backdrop here is in home improvement? Has there’s been any changes in terms of the promotional environment as it seems like some prices being passed through here as it becoming less promotional or any change at all sequentially?
Craig Menear: I don’t think there’s been a significant change in the promotional activity, if anything we were less promotional in Q4, but the overall market was very similar to prior year.
Christopher Horvers: Thanks very much. Have a great spring.
Craig Menear: Thank you.
Operator: Our next question comes from Eric Bosshard with Cleveland Research Company. Please go ahead.
Eric Bosshard : Good morning. In terms of Pro and online just curious what you learned or any big learnings from those three areas in 2017? And then how you think about the growth rate in 2018 relative to 2017 in those areas?
Craig Menear: So, overall, we're very pleased with our Pro business in 2017 and we continue to see growth there. And as customers continue to take on bigger projects as a result of feeling good about their home values, we see that continuing as we move into 2018. Go on, if you have other comments on that.
Edward Decker: Eric, I’d say the other learning is that the more dimensional our relationship with our pro is the stronger our share of wallet becomes, and I think that was exemplified by the pros that are managed by our passes [Ph] which was one of our fastest-growing areas for a pro-business. So it’s that pro-engagement and that one-on-one recognition that seems to be resonating with the customer and we will carry that into next year.
Eric Bosshard : And as it relates to the online, again, very pleased with what the team was able to accomplish in our online business, setting in a whole new platform that we operate on, enhancing our capabilities around search and mobile, and Kevin’s here and I’ll let him speak to how we are thinking about 2018.
Kevin Hofmann: Yes, certainly from a learning perspective, just reinforced what we’ve been chasing, chasing the customer and wherever they lead us, we invested significantly to eliminate a lot of friction between the different channels as we pursue our One Home Depot strategy investing in expertise and knowledge in the online property. You’ll see more of that in 2018, you know with similar growth aspirations, we got a consistent track record of over $1 billion dollars of growth in each of the last few years in our online property and we’ll look to do that again in 2018.
Eric Bosshard : And then one follow-up question, as inventory progress, inventory leverage was solid in 2017. The two points within that, what contributed to that and how should we think about the path of that moving forward?
Craig Menear: Well we were very pleased with our overall inventory position as we came through the fourth quarter and finished the fiscal year. Our primary focus when it comes to inventory is to maintain in stock. That is first and foremost so that we have the customer needs on the shelf when they come. In market or [Indiscernible]...
Mark Holifield: Right, Craig. I mean customer service begins with instock, so that’s always the top initiative, but we’d expect to continue to leverage inventory as our business continues to grow in the quarter. We’ll be making some investments as we open new distribution facilities for online, but we continue to expect to leverage our inventory.
Carol Tomé: Yes, so if you just want to model in, model inventory turn around to 5.3 times.
Eric Bosshard : Great. Thank you.
Carol Tomé: Abby, we have time for one more question.
Operator: Okay, our last question will come from Daniel Binder with Jefferies. Please go ahead.
Daniel Binder: Great. Thank you. Just on the pros, I was wondering if you’d talk a little bit about that gap between DIY and Pro, I know it’s been consistently growing faster than DIY. Is that accelerating and then could you also talk a little bit about the interline trends?
Craig Menear: Well Daniel, I think the one thing that we’ve seen is there’s a little cloudiness in where the actual purchases are coming from, in some cases, you are seeing people at DIY projects that are now electing their pros to go and do the purchase and the work, so but we are very pleased with the DIY growth, and seeing strength with our consumer business as well as the pros, so there’s a good balance there. And then as far as interline, we are pleased with the progress, pleased with the results. We saw a strong sales growth in all three end markets, institutional multifamily and trades, continue to see prior traction and pro purchase in the MRO initiative, so pleased with the progress.
Carol Tomé: And maybe one difference that we were seeing is the rate of growth for the high spend pro is the same as the rate of growth of the low spend pro, that’s just so we are in terms of the recovery they are....
Daniel Binder: And then one follow up if I could on merchandizing, you know one of the emerging trends we’ve seen out there, obviously is the connected home, just wondering when we’ll see more from Home Depot on that, it seems like you are pretty well positioned to capitalize on it, but maybe a little bit further behind some other players in the electronic space on that area of the business?
Edward Decker: Yes we are rolling out some more dedicated end caps in one and two and even three days sets as the amount of connected home product comes into the store. We are super excited, there is new product coming from Ring, there’s new product coming from Nest, there’s new product on light and fan controls by Lutron, so really across the board, all our major suppliers are coming up with great innovative product and we are growing the space in the store to merchandise it appropriately.
Craig Menear: I think the other thing that you’ll see is just in general, in every bay in the store where there’s an opportunity to have product that is enabled through technology, you’ll see that happen over the next five years. It will continue to evolve and it won’t be somewhat a section over the next five years, it will be in every day in the store. That will happen, because the manufacturers are finding ways to enhance their product for the customer.
Daniel Binder: Great thanks.
Diane Dayhoff: Well thank you everyone for joining us today, and we look forward to talking to you on our first quarter call in May.
Operator: Ladies and gentlemen, this does conclude today’s call and we thank you for your participation. You may now disconnect.